Operator: Good day, and welcome to the 5E Advanced Materials Earnings Conference Call. [Operator Instructions] After the prepared remarks we will open the floor for a question-and-answer session. Please note, today's call is being recorded. Before we begin, I would like to remind everyone that today's discussion will include forward-looking statements. These statements are based on current expectations and assumptions and are subject to risks and uncertainties that may cause actual results to differ materially. For more information on these risks, please refer to the company's filings with the Securities and Exchange Commission. 5E Advanced Materials undertakes no obligation to update or revise any forward-looking statements. At this time, I would like to turn the call over to Paul Weibel, Chief Executive Officer of 5E Advanced Material. Paul, please go ahead.
Paul Weibel: Thank you, and good afternoon, everyone, and thank you for joining us today. Fiscal 2026 is shaping up to be a pivotal year for 5E, a year defined by momentum, achievement meaningful progress toward establishing ourselves as a leading U.S. borate producer. We've reached what is, for us, the most significant moment in both domestic borate market and the evolution of supportive U.S. policy. Boron, the fifth element on the periodic table is now officially recognized as a U.S. critical mineral. On November 7, the U.S. Geological Survey and the Department of the Interior formerly added boron to the final 2025 Critical Minerals list. That recognition is a major validation of our strategy, confirming what we've long advocated that boron is a cornerstone of America's energy policy, national defense and high-technology sectors, while also being essential to glass, ceramics and agriculture. There is a clear necessity to secure and maintain a reliable domestic borate supply chain and for the U.S. to remain an important global exporter of high-quality borates. 5E is a proud leader in the effort to maintain the United States position of strength in the borates market and with this designation, we believe it brings meaningful economic advantages that include expanded access to federal funding and financing as well as strategic partnerships that will accelerate the development path for Ford Cady. Before I dive deeper into what this means for 5E, let me summarize the quarter's key highlights. First and foremost, is that boron was added to the U.S. Critical Minerals list which confirms the importance of Ford Cady's positioning as the leading advanced stage boron project in the U.S. 2, the addition of boron to the list expands our eligibility for federal funding programs including USXM, the Department of Energy's Loan Programs Office, Department of Wars Office of Strategic Capital and the International Development Finance Corporation. 3, continued customer validation with full-scale product testing underway with multiple Tier 1 specialty glass manufacturers. 4, progress on feed engineering, supported by our application to the XM engineering multiplier program for a $10 million loan facility. And finally, we remain on track towards final investment decision in 2026. These achievements built directly on what we discussed during our year-end 2025 call. Our foundation is strong, our milestones are stacking and we're steadily moving towards construction readiness. Before turning to our progress, I want to briefly address the broader borates market because understanding that context helps highlight the opportunity 5E is stepping into. Legacy producers continue to face rising operating costs, decreasing grades and depleting reserves that have created a market opportunity for 5E a new generation boron company to be built on innovation, operating efficiency and long-term resilience. Market research, insight and customer discussions highlight a clear tightening of supply and demand in the borates market with an expectation of demand outpacing supply. Demand for borate materials continues to accelerate across EVs, wind, nuclear energy, semiconductors, defense applications, ceramics and specialty glass, exactly where Boron's thermal, optical, density and hardness properties are essential. 5E is uniquely positioned to step in and fill the market deficit with a project that has logistical advantages and a flow sheet and process that is modern, low cost and high value underpinned by resilient domestic boron supply that supports both commercial and national priorities. Market participants are increasingly viewing 5E as a strategic partner for the future. When combined with the U.S. Critical Minerals designation, these market dynamics further strengthens 5E's position and reinforce Ford Cady's importance to the U.S. supply chain security. As the only pure-play U.S. advanced stage domestic boron asset, Ford Cady now qualifies for several federal funding and grant programs designed to rebuild American mineral supply chains. These include the U.S. export import bank, where 5E already holds a $285 million letter of interest under the Make more in America initiative a program specifically created to support U.S. manufacturing exports, infrastructure and supply chains. XM's engineering multiplier program, where we have applied for a $10 million loan that has the possibility to finance a significant portion of our feed activities on a non-diluted basis. The Office of Strategic Capital and the U.S. Development Finance Corporation, where Executive Order 14241 to find a mineral largely with reference to the USGS list. The executive order delegates the Defense Production Act, lending and investment authorities to the Secretary of War and the CEO of the DFC and requires the establishment of certain mineral funding mechanisms including the Department of War Office of Strategic Capital. The 1 big beautiful Bill Act of 2025, authorized $5 billion for investments in critical mineral supply chains -- sorry, $5 billion for investments in critical mineral supply chains made pursuant to the industrial base fund and up to $100 billion in principal amount of direct loans and guaranteed loans for critical minerals and relative industries and projects. The Department of Energy's loan program office, where in addition to Title 17, the innovative energy and innovative supply chain prongs are enhanced by this designation given the explicit reference to the statutory reference of critical minerals being the USGS list. 5E is ideally positioned to benefit as a shovel-ready advanced stage project aligned with national priorities. Access to these programs has the potential to strengthen our balance sheet reduce equity dilution and accelerate execution. That's a direct result of the federal government recognizing what we've built and our strategic domestic resources and reserves ready to move into production. Operationally, our team continues to execute with precision, maintaining strong alignment with our milestones and reinforcing the quality of our technical and commercial foundation. As we discussed last quarter, our pre-feasibility study confirms strong project economics, a 39.5 year mine life and 19.2% pretax IRR and a pretax NPV of $725 million for only Phase 1 of the -- Ford Cady project. Those fundamentals continue to anchor our forward plan. We've now successfully qualified our high-purity boric acid with multiple customers across sectors, including specialty glass, fiber glass, ceramics, agriculture, defense and advanced materials. Most notably, we have advanced to full-scale testing and furnace trials with a Tier 1 specialty glass manufacturer, following the successful shipment of 20 tons of boric acid from the Port of Los Angeles to Taiwan, I can confirm that as of last week, the shipment had arrived in Taiwan and will be deployed in a live testing environment in the near term. Additionally, we supplied an additional 1,000 pounds of boric acid to a domestic boron carbide manufacturer. China currently controls much of the boron carbide supply chain, and we're excited to do our part in reassuring domestic boron carbide production as it is critical to our national defense. On the back of the 20-ton shipment, we're also preparing additional product shipments for other LCD glass producers, reinforcing both the scalability and reliability of our operation. Each one of these milestones build customer trust and advances us towards long-term offtake agreements, a key bridge between development and commercial operations. Looking at the market opportunity, the critical minerals designation aligns perfectly with broader U.S. industrial policy. Boron is essential to technologies that support advanced manufacturing and enable the energy policy objectives. Everything from permanent magnets, semiconductors, EVs, wind turbines and defense armor systems to advanced glass and composites, which 5E position as a strategic enabler within multiple national frameworks. From a development standpoint, our trajectory remains clear. We are nearing completion of field ready engineering deliverables, advancing strategic financing discussions and negotiating offtake terms. Each step brings us closer to our goal of a 2026 final investment decision. As we move through these milestones, our goal remains consistent with what I outlined in our previous call. To progress methodically derisk every stage and build a capital structure that supports long-term value creation. The remainder of fiscal year 2026 will be focused on 3 primary priorities: 1, securing non-dilutive U.S. capital support through XM, OSC, DFC and DOE programs. While skeptics may have heard this previously from 5E, the [ RESI ] designation is a major catalyst and milestone to having a much more broader and in-depth discussion on financing our project and providing access to larger pools of capital; 2, advancing customer agreements in commercial offtake contracts where we expect a more detailed negotiation to commence before year-end. And 3, executing a rigorous and diligently planned feed and brief FID work streams to ensure we are construction ready in 2026. Additionally, we have commenced the work stream to upgrade our mineral resource statement on the back of securing and recording the remaining federal load claims for the rest of the colemanite mineralization of the deposit. Further, we have begun steps to build a portfolio of intellectual property on our proprietary mining techniques and processing solutions. These steps position 5E to cement our mineral tenure for the long term, become the premier ISL borate producer in the United States and transition confidently into construction and, ultimately, commercial production, delivering long-term value for our shareholders and strengthening America's domestic mineral independents. In closing, this quarter truly represents an inflection point, one that underscores our growing momentum, validates our strategy and sets the stage for sustained growth and value creation. The federal recognition of boron as a critical mineral validates years of technical work, market engagement and policy advocacy. It affirms that what we're building at Ford Cady matters, not just commercially, but strategically. As I said on our last call, this is a story of proof, not potential. And now with federal alignment and growing customer attraction, we're proving that 5E is positioned to become America's trusted borate supplier of Advanced Materials. Thank you to our employees, partners and shareholders for your continued commitment. We're building something rare and a foundation for America's energy and Advanced Materials future. With that, we'll open up the call to any questions.
Operator: [Operator Instructions] Our first question is coming from Tate Sullivan of the Maxim Group.
Tate Sullivan: And Paul, congratulations on having boron beyond the critical mineral list, and [ also ] you highlighted the potential in your last call and how you were part of that process. So congratulations. Is part of being on that list, is there any word from -- or previous comments from the Defense Logistics Agency that boron that there may be government stockpile boron going forward? Or any boron derivatives?
Paul Weibel: I think the trend has been to in the past, stockpile carbide on the USGS commodity summary, there was a pretty large award, maybe about 1 year, 1.5 years ago to a company through DPA for domestic production of boron carbide obviously, that's a supply chain that's dominated by China. That customer has reached out to a couple of the other borate producers kind of our understanding has been a bit ignored. And so we partnered with them went through the initial qualification process with smaller samples and now they are piloting production, looking to move to full scale and that was 1,000 pounds as part of that pilot process. And I think, listen, there's -- so to get back to your question, I think the stockpiling of carbide has occurred in the past not sure, if there's stockpiling right now, especially given what is happening on the midstream with that producer, but I think the plan is to ultimately get off of China and domesticate that supply chain.
Tate Sullivan: And then separately in the 10-Q, I saw some language about the horizontal wells -- 2 horizontal wells that you're drilling. Is that for resource expansion and definition work? Is that for flow testing and have you started flow testing if that is part of the process?
Paul Weibel: No, this is actually validating the commercial design. So we drilled in July into early August to horizontal lateral. So we had 4 injection recovery wells and about maybe each of those wells were going down to about 1,500 feet total depth vertically. And we have at about 1,080 feet below ground. We've sidetracked off those 2 wells with 1,500 foot laterals. We got a minor modification from EPA to get commission to do that. Our commercial mine plan contemplates 4,000-foot laterals. So we're kind of -- as you think about scaling and proof of concept. And so we've run about 6 or 7 cycles on those wells. And the results have been really good. One of the things that as we're coming up on 2 years of operating the small-scale facility here in January. And 1 of the things we saw with the vertical wells is you'd have head grades that would be consistently at 5% and then they jump to 7%, 8% and then back down to 3%. You had a bit of variance. And from a geology perspective, our deposit was a late millions of years ago and it evaporated and it's pretty homogeneous. It's about the mineralized zone is 1,300 to 1,500 feet underground. And that gives us the ability to take a horizontal well and run kind of for a couple of thousand feet through high-grade colemanite zones. So what has happened now as we've tested these wells, all samples, right from a head grade and boron percentage and solution, the variance has like gone away. And there's a much higher rate of efficiency from a mining process and that we're consistent. And as you think about your design going into feed engineering, the basis you're going to give your EPC contractor we now have a really high degree of confidence on what that bell curve looks like from a boron in solution percentage as well as our metal and purities and our calcium to boron ratio. So it really gives -- it just gives us a much better position to have a successful feed program and ultimately design a plant at commercial scale that's going to work.
Operator: Our next question is coming from Heiko Ihle of HC Wainwright.
Unknown Analyst: Paul, it's [ Chase ]. Heiko is on the plane right now listening to the webcast.
Paul Weibel: No problem. Chase, how are you?
Unknown Analyst: Great. Earlier on the call, you discussed several government programs that supported Boron. Can you give us some color on maybe the percentage or in dollar terms that you think we could see from such programs? It seems pretty pertinent given the long-term demand drivers are pretty obvious.
Paul Weibel: Yes. Great question. Listen, I think now that you have this critical minerals designation, it really opens up all aspects of the capital structure from the loans to what you saw what happened with [indiscernible] where they came in and now they're a 10% shareholder and they did the preferred. So I think I would get asked previously at different conferences and as we're talking to investors, is that a possibility? And my kind of first response was, listen, we need to get the government to acknowledge boron as critical mineral. So now that we've done that, I think we can really have a much more in-depth discussion on, hey, what's the right loan we want to go after. We have the LOI with XM, but now you can kind of run parallel processes. As you go get the debt, and obviously, the debt helps geared IRRs. So you can optimize your cash flows through the loans, but then you can have the conversation about, hey, what does the balance of the equity look like? And could you have a conversation with OSC on potentially providing some of that capital. And so now on the back of that, like, I would say, like -- we have a $435 million capital estimate like that's the sky is the limit. In the interim, there's had a call today on we are a member of Cornerstone Consortium. What we're doing on the well field side is both innovative and just on an extent -- we're proving that the horizontal -- we know the vertical wells work. We're proving that the horizontal wells are actually a better design, and the results are already speaking for themselves. But hey, can we go get smaller wells now through cornerstone on the mining side. And I think on the back of some of these executive orders that kind of came out earlier in the year, now you're getting through CRs have been passed. You can -- people returning to their guests, you can actually go have those conversations.
Unknown Analyst: Absolutely. One more question. You mentioned some of the fluctuating head grades on the call. From a geological point of view, what exactly is this based on? And how does it impact your internal model as you mentioned, having more clarity on the bell curve to see what's going on?
Paul Weibel: Great technical question there. So when we say high grade we're talking about what's the boron percentage by weight in solution that's coming and being extracted from underground to surface. And so -- when we start an injection recovery cycle to go mine the bond, we're starting for our permit with 95% water, 5% hydrochloric acid. And just HCL, it's no different than the muriatic acid I put in my swimming pools as a conditioner. But that with the water and increases in temperature, creates the ability to leach the colemanite. And so when we inject, we let that then sit underground, what happens in that a 24- to 48-hour time period is that HCL reacts to colemanite and dissolves the minerals. And so when we come up above ground, what ends up happening is we catch multiple samples of solution. We send them to our lab on site, and we run an ICP analysis on that. And what happens is you can see what's your HCL concentration in that solution. And so when you -- before you injected, you started at 5%. And when we test in the lab, it's about 0.25% to 0.5% HCL. So that HCL has now been reactive and replaced with dissolved boron and solution. And because boron is super soluble, i.e. with temperature, the more you can dissolve the better head grade you can get, we -- you can supersaturate and outperform on the mining side. And so our base case assumes 9% to 10% head grade. We've proven the solubility curve out on the low end. And ultimately, what we're focusing here on the next like 1.5 month, 2 months is really bedding that out on the commercial design. So economics for the PFS remain intact. And I think we -- we've had some really initial good results, where we've gotten kind of right around that 7% head grade. And -- but we're limited today on the temperature we can actually inject at the small scale facility. And so one of the items, and this is kind of a teasing out like the next call is like we have downhole heaters on order. They're used in oil and gas and every day, they can get up to actually 300 degrees C. That's not the temperature we need to mine at. We're going to kind of hang it right around 160 to 180 degrees at.
Operator: [Operator Instructions] Our next question is coming from Dmitry Silversteyn of Water Tower Research.
Dmitry Silversteyn: Quick question. When you talk about -- you talked about one of your goals for 2026 is to secure offtake contracts and you're working right now to have your products trialed. Is there, in your mind, a sort of percentage of your annual production that you would like to have under offtake agreements and long-term contracts at what level would you feel comfortable deploying capital and how do you see maybe a steady-state business operating between offtake agreements and selling on the spot market?
Paul Weibel: Great question, Dmitry. Glad to have you on the line. Yes, I think the first kind of group we proposed to, they were -- we pitched about 20% of our production, so about 24,000 metric tons. There's 2 or 3 other customers in queue. I think what we'd like to get to is a bankable portfolio that consists about 70% of our production under offtake agreement, maybe 75%. And then you want to take advantage of the spot market and specifically distribution because they are not bankable customers, but they ultimately do provide a higher price in the spot market, that's how you can -- there's boron is using 300-plus applications and the way you can kind of scale is ultimately through those distribution channels, where you have smaller participants buying it, but they're buying at much higher prices. And so from as we're thinking about that offtake portfolio, you target 70% of the 130,000 tons under contract and then you keep another 25% to 30% for the spot market. Understood.
Dmitry Silversteyn: That's very helpful. And then just a point of clarification. When you talk about making the final decision by the end of 2026 or talking about offtake contracts by the end '26? Do you mean your fiscal year or the calendar year?
Paul Weibel: Great question. So that was a reference to calendar year 2026.
Operator: Thank you very much. Well, there are no further questions at this time. I will now turn the call back over to Paul for any closing remarks.
Paul Weibel: Thank you, everyone, for your time, interest in dialing today for our Q1 2026 call. We have a tremendous opportunity in front of us to become the newest borate producer in the world. We have a proven asset and a strategy to modularly expand the asset over the next several years. We're looking forward to sharing this journey with all of you in the coming quarters, and thank you for dialing in. Have a great day.
Operator: Thank you, Paul, and thank you to everyone for joining today's call. This concludes today's conference. You may now disconnect.